Operator: Good morning, everyone. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome you all to the Polaris Fourth Quarter and Full Year 2013 Earnings Results Conference Call. [Operator Instructions] Thank you. I'd now like to turn the call over to our host, Mr. Richard Edwards. You may begin your conference
Richard Edwards: Thank you, Sarah. And good morning, everyone, and thank you for joining us for our 2013 fourth quarter and full year earnings conference call. A slide presentation is accessible at our website at www.polarisindustries.com/irhome, which has additional information for this morning's call. The speakers today are Scott Wine, our Chairman and Chief Executive Officer; Bennett Morgan, our President and Chief Operating Officer; and Mike Malone, our Chief Financial Officer. Let me remind you that during the call today, we will be discussing certain topics, including product demand and shipments, sales and margin trends, income and profitability levels and other matters, including more specific guidance on our expectations for 2014, which should be considered forward-looking for the purposes of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those projected in the forward-looking statements. Now I turn it over to Scott Wine. Scott?
Scott W. Wine: Good morning and thank you for joining us. Each year, we have a competition in the fourth quarter that rewards our top-selling Off-Road Vehicle dealers with the trip to BCS Championship. It is always nice to spend some time with some of our best dealers and for those of us from Minnesota, the warm weather at the Rose Bowl was certainly an added benefit. We were treated to a hard-fought football game between Auburn and Florida State, a fitting metaphor for the competitive battles Polaris is waging across our businesses. Our results show that in 2013, we frequently prevailed, but we see many areas where we must improve our execution. With competitors stepping up their game, we are prepared and expect to win. We entered 2014 with tremendous energy and a renewed focus towards our fifth consecutive year of out-performance. Thanks to substantial demand for our new RANGER and RZR offerings and the excitement in orders surrounding the new Indian Motorcycles, we were able to deliver robust financial performance to close the year and position Polaris for profitable growth. All product lines contributed to the solid year-end finishes for our International and Parts, Garments and Accessories businesses up 46% and 33%, respectively. And our KLIM and Aixam Mega acquisitions also performed at the high end of our expectations. Overall, sales for the quarter were $1.08 billion, up 20% from the prior year period, and marking our second consecutive quarter with over $1 billion in sales. Net income for the fourth quarter was up 23% to $108.7 million, yielding record earnings per share of $1.56, up 26%. Full year 2013 sales increased 18% to just under $3.8 billion as our R&D pipeline delivered a record number of new award-winning products across our Powersports portfolio. Consistent with our strategy, our international and adjacent market businesses each grew faster than our core business, up 29% and 79%, respectively. With the full year net income from continuing operations of $381 million, we achieved our long-term goal of 10% net income margins several years earlier than expected. As a result, earnings per share grew 23% to $5.40 and we generated nearly $500 million of operating cash flow. Though I believe the stock market may be a bit inflated, given these results and our consistent performance over the past 4 years, it could be argued that our significantly above market shareholder returns are warranted. Polaris has come a long way over the past 5 years. In 2009, we made a commitment to margin expansion and long-term profitable growth. With net income progression nearly doubling our 14% sales CAGR, this awesome Polaris team has certainly delivered. It is fitting that our ESOP is one of our largest shareholders. I have frequently stated that Polaris is not going to grow to the moon, and we do not expect future growth or shareholder returns to maintain this near-perfect slope. However, we have invested hundreds of millions of dollars in everything from innovative product developments to new plants and acquisitions that allow us to reach a broader set of customers. And I expect excellent returns on these investments. While we cannot directly control the stock price or our P/E ratio, we do own the inputs and I trust this team to seize opportunities to execute better and to grow sales and net income well into the future. Fundamental to our success is an unrelenting focus on achieving our strategic objectives. As our business evolves, our vision and strategy statements, along with our guiding principles and performance priorities, provide the north star that guides our investment decisions and execution. We certainly expect to achieve our goal of $8 million in sales and more than $800 million of net income by 2020, but getting there the right way every day is equally important. We pride ourselves on having the best people and best team. And my confidence in our ability to transform Polaris into a customer-focused LEAN enterprise is founded on our deep and talented pool of leaders and employees. We are fortunate to have a proven leader like Tim Larson join our team. He has the experience, passion and skills to help our business leaders drive sales and market share growth. We have also freed up Mike Jonikas to focus our growing sales and market share in Snow, while also leading the launch of our Slingshot product later this year. With these 2 product lines, Mike may have a corner on the market for the most exhilarating products Polaris makes to ride. M&A will continue to play an important role in our growth, always consistent with our strategy and always secondary to our commitment to strengthen and build on our core. Coming off of the year that was good but far from our best, we will rely on our proven strategy and exceptional team to make 2014 a year of improvement and growth. With that, I will turn it over to our President and Chief Operating Officer, Bennett Morgan, who will provide additional insights into our operations and business unit performance.
Bennett J. Morgan: Thanks, Scott, and good morning, everyone. Polaris retail sales increased about 10% for the fourth quarter and for 2013. Polaris expanded its compelling lead in Powersports market share for the sixth consecutive year in a Powersports market that is healthy and growing, up about 7% for 2013. Dealer inventory is in very good shape, up 10% versus 2012, due primarily to new product segments from our innovative new Model Year '14 ORV lineup. But we do see a number of opportunities where we can compete and execute better in 2014 as we face a more challenging competitive environment in many of our businesses. Once such opportunity is delivering a consistently outstanding customer experience of Polaris in our dealerships. We recently aligned sales and service under Tim Larson's customer excellence leadership to enable this improvement. Moving on to business unit performance. Off-Road Vehicles. ORV revenue increased in Q4 16% driven by strength in side-by-sides, particularly RZRs, Defense and Commercial. For calendar year 2013, ORV completed another strong year with revenue up 13%. Polaris gained market share again in the fourth quarter and for the full year 2013 in a growing North American ORV market building on our significant leadership position. We are again #1 in the North American ATV industry, increasing our lead with 2013 retail sales up mid-single digits in an industry that was essentially flat. Polaris side-by-side retail sales growth moderated just a bit in the fourth quarter, but increased low double digits for 2013, outpacing the side-by-side industry we estimate grew around 10% for the year. We again gained market share for 2013, but at a lower rate than the past few years. While expanding armada of ORV solutions is our greatest strength, it is also clear that Polaris and our dealers will have to be vigilant on defense of each and every segment in this broader, more aggressive competitive environment. And we have plenty of reasons to be bullish. All our Model Year '14 new product introductions are selling extremely well and seasonality is now approaching. The new RZR XP 1000 is the fastest-selling side-by-side in our history. The XP 4 is built on that RZR XP sales momentum. The new Sportsman 570 is driving significant share growth in the large 500 ATV segment and the new RANGER Crews are up strong double digits. In addition, over the last 60 days, we've launched an unprecedented number of new Model Year '14.5 models that are just now beginning to ship. The RANGER 900 Deluxe, the Sportsman WV850 with TerrainArmor NPT Tires and the Scrambler 1000. And just last week, we were at it again, introducing the whole new Off-Road experience in what we believe will be an all-new category with the Sportsman ACE. The innovative new ACE is a ride-in, single-seat solution with an adjustable tilt steering wheel, plush contoured adjustable seat, easy ingress/egress, a ROPS cab frame with 3-point seatbelt and safety net, 48-inch width for trail capability and an all-new 32-horsepower dual overhead cam ProStar engine designed by our Swiss auto team. ACE provides a superior new vehicle approach and research indicates it will attract a variety of new to the category and existing customers in Off-Road. MSRP is $7,499. Polaris ORV commercial revenues increased by over 120% in 2013. And in the short period of time, we have built this into a growing profitable adjacency. National accounts continued its strong growth. And both Bobcat and Brutus retail improved notably in the fourth quarter. But frankly, we still see significant missed opportunities in Polaris in dealer execution and customer development opportunities. To drive improvement in 2014, we have added a dedicated infield commercial sales force to assist dealers in landing local B2B and B2G business. Our Ariens partnership will further expand our commercial reach to new channels and new customer types as we utilize a portfolio of brands and channels to attack this important opportunity. Our Defense business grew nicely in the fourth quarter, up about 50% off a weak comparable, although 2013 revenue was down slightly. Prospects are encouraging as we won the last 11 contracts in our space. The Department of Defense has a budget for the first time in the past 2 years. International sales were up over 150% in 2013 and our new business development initiatives are moving towards commercialization. Snowmobiles. As expected, fourth quarter snowmobile sales declined 13% as we improved shipment timing to snow dealers and managed tight capacity in our plants. For calendar year 2013, snowmobile sales increased 7%. Polaris retail accelerated in the fourth quarter and season-to-date, we are now up about 10% and remain the clear #2 share OEM, even though we've lost a bit of share season-to-date. Our new Model Year '14 Indian Voyagers are selling well, but our RMK and mountain business has been impacted by well below average snow conditions in the mountains and some early Snow Check sales hangover from last season's service bulletins, but Model Year '14 quality has been excellent across the board. The North American snowmobile industry is showing its best season-to-date, year-over-year growth in over 15 years, up high-teens percent driven by good snow late last season and solid snow through most of the snowbelt this season. We do face stout retail comparables in the first quarter, but overall, the snow industry is healthy. Our dealer inventory is down 4% and we are in excellent position as we head toward the home stretch of the season and prepare to launch an exciting new lineup of Model Year '15 snowmobiles to celebrate our 60th year in the snowmobile business later in Q1. Motorcycles. Polaris motorcycle sales accelerated significantly in the fourth quarter, up 94% driven entirely by Indian. For calendar year 2013, revenue increased 12%. Fourth quarter North American heavyweight motorcycle industry retail sales were up low-teens percent and for the year have increased mid-single digits. Polaris motorcycles, that's Victory and Indian combined, gained a bunch of share in the fourth quarter, with retail sales up over 100%. Victory retail sales increased upper single digits for 2013, again, gaining share and expanding our lead as the #2 brand in heavyweight motorcycles. Indian shipments to dealers increased in the fourth quarter as our production ramped up and improved throughout the quarter. The shipped Indians are selling quickly and early buyer satisfaction and quality ratings are outstanding. The Chief Series bikes are already winning prestigious industry awards, and we have 140 signed North American Indian dealers. Over 60 are currently opened and retailing, and we expect a healthy majority of the 140 will be retailing by the spring selling season. Both brands are utilizing our RFM process, and we are poised for another strong year growth in motorcycles as we head into 2014. Parts, Garments and Accessories. PG&A's record performance continued in the fourth quarter, as strong growth from all categories and regions drove revenue up 33%. For the full year of 2013, PG&A sales also rose 33%. Growth came from every category, with Accessories up 30%, Parts up 24% and apparel up over 150%, led by an outstanding first year from KLIM. In 2013, we introduced over 800 new product solutions across our portfolio, including our Polaris POWER line of inverter generators in the fourth quarter, which drove substantial increases in our per-unit accessory penetration. Our investments in capacity and service levels in new distribution centers in Wilmington, Ohio and in Belgium are performing well. And we recently invested in a category management structure in PG&A to further enhance our focus, innovation and alignment within our business units. Small Vehicles. Small Vehicle revenue increased 286% in the fourth quarter and 177% for calendar year 2013, due primarily to the Aixam purchase. For the year, Aixam now has over 40 points of share in the European quadricycle market, Goupil grew revenue over 20%, and GEM retail increased over 50%, driven by strong execution and all brands buoyed late by new products. International. International sales momentum also accelerated, up 46% in the fourth quarter and 29% for the calendar year 2013. Our growth has been generated broadly from a wide range of our businesses, small vehicles, PG&A, side-by-sides, snowmobiles and in the fourth quarter, Indian. Our EMEA region continues to outperform with fourth quarter sales up 61%, driven by Aixam and winning share. Impressively, revenue was up strong double-digits even without the Aixam purchase. Polaris retail was up single digits overall, leading a notable market share gains in ORVs and snow, and with significant upside in motorcycles now coming from the arrival of the first Indians in EMEA dealerships. 2013 industry conditions remained tepid with ORV industry down upper single digits, the motorcycle industry down slightly and the snow industry up mid-single digits season-to-date. Asia Pacific sales were up 7% in the fourth quarter, but were down 4% for 2013. While in Latin America, it was up 6% in the fourth quarter to finish up 20% for 2013. We continue to invest for future growth. Our Opole, Poland and Eicher-Polaris plants' teams and products are on plan and preparing for production in late 2014. LEAN Enterprise. LEAN operational excellence initiatives focused on quality cost and speed are delivering margin expansion. 2013 productivity improved about 6%. Our plants are full. And in 2013, we invested over $100 million in capacity and capabilities in both new and existing plants across the globe to enhance our foundation for long-term growth. Our LEAN RFM initiative has transformed our motorcycle delivery and business model, and we intend to expand the learning to new areas of our business. Factory inventory is up 21%, primarily due to acquisitions and product mix. And inventory turns are flat year-over-year. This is an area we will continue to attack in 2014. We are 100% convinced that LEAN is the "how" to a better Polaris for all stakeholders, focusing on adding value for our customers and driving out waste across the value stream. While we've made some progress to-date, we intend to aggressively accelerate our efforts to use LEAN to bolster our competitive advantages. We have promoted Jonathan Blaisdell to our Chief LEAN Officer to guide and support the transformation across the Polaris Enterprise. And with that, I'll turn it over to our Chief Financial Officer, Mike Malone.
Michael W. Malone: Thanks, Bennett, and good morning to everyone. I will start my comments this morning by sharing what we expect 2014 to be the fifth consecutive year of double-digit percentage, top line and bottom line growth for Polaris. Total company sales are expected to increase 11% to 14% for the full year 2014, with every product line projected up versus 2013. A couple of items to note, first, the anticipated Slingshot shipments during the second half of 2014 are included in the guidance for motorcycle business, along with Victory and Indian. And second, the Sportsman ACE product introduced last week is included in the ORV sales guidance. To summarize 2014 sales growth guidance by business, ORV is expected to grow in the high single-digits percentage range driven by our expanding armada of industry-leading products. Our snowmobile business is healthy and sales are expected to grow mid-single digit percent; motorcycles, up 65% to 75%, driven primarily by Indian; small vehicles, up 25% to 30%, which includes a full year of Aixam acquisition; PG&A, up mid-teens percent and growing faster than the overall company; and International growing about 10% over the full year 2013. Now moving down the P&L. Gross margins are expected to decline 50 to 70 basis points in 2014. I will give more detail on gross margins in my next slide. Although operating expenses in dollars are expected to increase in 2014, operating expenses as a percentage of sales are expected to decline about 100 basis points in 2014 compared to 2013. We will continue our spending investment in sales, marketing, product development and distribution related to the Indian Motorcycle and further global investment in future growth opportunities. However, as a percentage of sales, these expenses are expected to be more than offset by a planned reduction in our incentive compensation expenses related to changes made to the company's long-term incentive compensation plan. Previously, the expense was linked to the performance of our stock price over the performance period. But now we grant stock awards for which the expense is fixed and spreads equally over the 3-year period. When you combine our gross margin and operating expense guidance ranges for 2014, the resulting operating profit margin expansion expectations are in the similar range to what we actually achieved for the full year 2013. We expect to record a somewhat larger loss in 2014 related to our 50% share of the startup cost in the iShares joint venture in India as the JV nears the date for its initial product launch and start of production. This launch is being recorded as a component of nonoperating expense on the income statement. The income tax provision rate for the full year 2014 is expected to be in the range of 34.25% to 34.5% of pre-tax income, an increase from the 33.7% recorded in 2013. The income tax provision rate is expected to be higher in 2014, primarily due to the benefit of having 2 years of the research and development credit in calendar 2013. Let me remind you that in the first quarter of 2013, we recorded the full year retroactive benefit of the 2012 R&D credit. Also during the first quarter of '13, we received favorable outcomes from IRS federal income tax audit, which allowed us to release certain income tax reserves. The combination of these 2 events generated a nonrecurring $8.2 million benefit for the first quarter of 2013 income tax expense. For 2014, the normalized tax rate in the first quarter is expected to be significantly higher than the 26.4% rate recorded in the first quarter of last year. And to be consistent with the 2014 full year tax rate expectation of 34.25% to 34.5%. As a result, although operating profit growth in the first quarter of 2014 is expected to be consistent with the full year expectation, bottom line net income growth in the first quarter will be challenged. Earnings per share from continuing operations for the full year 2014 are expected to be in the range of $6.17 to $6.37, up 14% to 18%, compared to the full year 2013. During the fourth quarter, we repurchased and retired 3.96 million shares of our common stock from Fuji Heavy Industries at a price of nearly $500 million. As a result of this repurchase and offset somewhat by the expected dilutive impact of compensation plans in 2014, the diluted share count is expected to decrease between 2% and 3% for the first 3 quarters of 2014, compared to 2013. We are not expecting to repurchase any additional shares in 2014 at this time, although there are 1.6 million shares remaining on the current share repurchase authorization. In the 2013 fourth quarter, the gross profit margin percentage increased by 110 basis points and grew 90 basis points for the full year 2013, benefiting from higher volume, product cost reductions, productivity and higher pricing, which offset a more aggressive sales promotion environment and currency pressures. For the full year 2014, we anticipate the gross profit margin percentage will decline 50 to 70 basis points. While we anticipate continued benefits from higher selling prices and product cost reductions, we expect they will be offset by several unfavorable margin pressures during the year. For instance, in 2013, our sales in Canada totaled $463 million at an average exchange rate exceeding $0.97. At the recent spot Canadian dollar exchange rate of around $0.90 to $0.91, we would realize a negative impact to gross margins of approximately $30 million or about 70 basis points for the full year 2014. Unfortunately, we have less than 10% of our expected Canadian dollar exposure hedged for the year. Additionally, product mix is expected to have a negative impact to the gross margin percentage as we plan to ship more motorcycles and small vehicles in 2014, which currently have lower gross margins than our ORV and PG&A businesses. And given our recent and continuing significant investments in product development tooling and capital expenditures, our depreciation and amortization expenses are expected to increase about 40% in 2014, putting pressure on the gross margin percentage. Moving now to our balance sheet and liquidity profile. Net cash provided by operating activities of continuing operations was nearly $500 million for the full year 2013, up 20% due primarily to the increase in net income. We expect cash flow provided by operating activities for the full year 2014 to increase at a similar percentage rate as sales. At year end, our cash balance was $92 million, a significant decrease from 2012, while our total debt increased to $288 million due to the repurchase of the Polaris stock from Fuji. During the fourth quarter, we fixed an additional $100 million of debt outstanding through a private placement with an interest rate of 3.13%. For the full year 2013, our investments in capital expenditures and new product development tooling totaled $251 million, more than doubled that spend in 2012. For the full year 2014, we expect capital expenditures to decrease somewhat, but still exceed $200 million. These investments include the European manufacturing plant, additional capacity and capability expansions at each of our North American production facilities, as well as increased investments in tooling for all the new products under development for Model Year '15 and beyond. Once again, our return on invested capital is outstanding at over 40% for 2013 and is expected to decrease only slightly in 2014 with the additional capacity investments plan. Polaris acceptance receivables from dealers in the U.S. were $929 million at the end of the year, an increase of 21% from a year ago. This increase reflects the mix change of higher value side-by-sides and motorcycles and increased PG&A sales in 2013. The retail credit environment remains stable, with full year 2013 approval and penetration rates only slightly lower than last year. And we are excited to bring the servicing of our extended service contract business in-house starting in January 2014, which will enable us to improve our ESC service levels with our dealers and consumers in the United States. In 2013, we overcame several obstacles to deliver another solid year. In 2014, there will likely be challenges to deal with, but our sound strategy and talented, seasoned Polaris team gives us confidence we can deliver another record year in 2014. With that, I'll turn the call back over to Scott for some final thoughts on 2014.
Scott W. Wine: Thanks, Mike. To wrap up, I will offer some additional insights into '14 with the benefit of 4 weeks of fighting the battle. The market has been a bit shaky recently, which is somewhat consistent with our view of the global economy. While we expect to see modest sub-3% GDP growth in the U.S., the risk of a downturn seems to outweigh the potential for accelerated growth. The European economy will improve off of a very bad baseline, but we expect it to be a slow and inconsistent pace. China's risks are well documented, but we believe economic growth there will still be in the 5% to 7% range, similar to India, and much better than our 2% to 3% projection for Brazil. We have been able to make growth happen in a slow growth world, and we plan to do so again. Despite pressure on consumers from higher interest rates, taxes and health care premiums, we expect our resilient Powersports customers to drive above GDP growth again in the industry, although likely at a slower rate in 2013. We anticipate another year of aggressive competition in the side-by-side market, with increased promotions possibly being more of a challenge than new products. However, Dave Longren is not only playing with our industry-leading, growing fleet of Off-Road Vehicles, he's also armed with an improved go-to-market strategy to help win the competitive battle. 2014 is a pivotal year for our motorcycle business, as Steve Menneto and his team build capacity and capability to aggressively grow 2 brands. The modern styling and exceptional performance of our Victory bikes are attracting new customers and driving profitable growth, which we expect to continue throughout the year. Our investment in Indian remains high, and energy and excitement around this incredible iconic brand should propel growth almost as fast as the Thunder Stroke 111 engine pushes the bikes down the highway. The launch has been spectacular. But starting this spring, we will begin to see the full potential for America's oldest motorcycle brand as consumers around the world begin to make the choice. Indian apparel and accessories will certainly be a boost for our PG&A business, with KLIM and many new product innovations also fueling sales. Steve Eastman is leading an impressive transformation of Polaris-engineered products and we anticipate a long runway of growth for our highest-margin business. I am pleased with the progress of our Small Vehicle business and excited about their prospects for continued innovation and growth. They are slightly ahead of our commercial team, which should benefit greatly from our Ariens partnership in 2014. We see synergies between these 2 businesses as we approach more municipalities, universities and big customers that can benefit from our growing portfolio of commercial vehicles. Polaris Defense has had a difficult couple of years, but our contract wins and investment in new vehicles may begin to pay off in 2014. While overall defense spending is likely to decrease again, there is funding available for our class of light-duty vehicles. With our growing range of vehicles, armor and non-pneumatic tire solutions, we are well-placed for success in our military. Matt Homan in for tough challenge, matched the great performance he and his EMEA team delivered in 2013, driving growth in a tough economic environment. Our new plant in Poland is progressing well, but will not contribute positively to our EMEA P&L until 2015. With a slightly better economy, a full year of Indian sales, and the slew of new products, we expect to gain market share and grow again in Europe, Middle East and Africa. Our developing markets growth strategy in Asia Pacific and Latin America will get a boost from the launch of our Eicher joint venture plant and product in India later this year. While we expect the JV to sell a few units in '14, the potential for long-term growth is significant. Mike Dougherty and his team are also creating new paths for growth in Brazil and China, and investing more to accelerate growth in Mexico. Our need to affect the LEAN enterprise transformation is second only to the untapped potential we will realize by doing so. I am personally disappointed in the progress I have led to-date, but expect Jonathan Blaisdell to work with Suresh Krishna and his ops team to dramatically improve the speed and quality from our factories and the service and support for our dealers and customers. Polaris will become a much better company by embracing Lean and our team will make tremendous progress on this journey in 2014. We fully expect to maintain momentum and drive profitable growth in the year ahead. I look forward to sharing our progress with you throughout the year. With that, I will turn it over to Sarah to open the line for questions.
Operator: [Operator Instructions] Your first question comes from Jaime Katz.
Jaime M. Katz - Morningstar Inc., Research Division: Can you talk a little bit about the operating expenses going down this year? I know you said you were still spending on Indian, but I suspect that it's somewhat less than last year, and then the remainder of it from that compensation, is that the right way to think about it?
Michael W. Malone: That's exactly the right way, Jaime. Our -- I'm still pained by how much money we're spending to invest in growth across the business and certainly still in Indian, but we do get the benefit of the change in the accrual for prior incentive comp program, which drives most of the decrease.
Jaime M. Katz - Morningstar Inc., Research Division: And then, for the Indian bikes that are out there already, what has resonated the best with the dealers and the customers? Is it the styling or the technology? And how does that sort of flow through the forward model years if you're thinking about that yet?
Bennett J. Morgan: Jaime, this is Bennett. The -- it's really been a home run from a customer dealer standpoint, all the way through it, other than I think we would probably be fairly critical of our ourselves from a standpoint of our ability to meet the demand on the launch. The shipment ramp up was a little slower than we would have liked. But the initial quality is through the moon, and I mean, it's industry-leading -- well above industry-leading levels. The new bikes are gorgeous, they love the styling, they love the feature refinements and it's really kind of a love fest.
Jaime M. Katz - Morningstar Inc., Research Division: And then, lastly, the new ACE product, is there any concern that, that takes away the demand from other products, or is this sort of a whole new market that you're trying to reach out to?
Bennett J. Morgan: Well, we see it as a whole new riding experience and category. And we think it's going to very effectively provide a better experience for a number of existing off-road users, but we also think it'll bring some news to the category people. So anytime we launch even really innovative new product, there's always a small amount of cannibalization, we're expecting some, but frankly, less than most of our products that we launched. So we feel really good about the incrementality of ACE.
Operator: Your next question comes from Robin Farley from UBS.
Robin M. Farley - UBS Investment Bank, Research Division: Two questions. First is on the slides. You note that this 50 to 70 basis points include some pressure from what I guess a onetime startup cost for the plant in Poland and I wonder if you could quantify how much of those are one time in nature? And then, my second question is just trying to parse your guys a little bit more for Indian and Victory and Slingshot. I guess, obviously, can you tell us a little more specifically what month Slingshot might ship? And then, also, if your Indian -- it looks like your Indian retail was pretty close to the pre-retail levels in its first full quarter here in Q4, I wonder if you could help us think about the components for 2014 of Indian versus the group versus Slingshot?
Michael W. Malone: Okay. I'll start, Robin, this is Mike. I'll start with the gross margin question. As you know, we're in the process of building our new plant in Poland. We got started in the latter part of 2013, and ramp with significant investment through '14, we'll get product out of the plant towards the tail end of the second half of 2014. So the dilutive impact, I don't know that we quantified that exactly for 2014, but we'll have significant cost pressure on our margins through '14. And then, eventually, once we get to proper capacity, the run rate going forward, we'll have $20 million of savings from the plant when we're all done. In addition, there's other projects that we have going on in 2014 that are also dilutive to our margin. I spoke's a little bit about that and the impact on our depreciation as well. As far as the motor...
James Hardiman - Longbow Research LLC: I was just going to -- just to clarify, Mike, you said significant pressure on '14 margins from the sort of onetime startup cost, do you think margins would have been flat or positive, excluding just those onetime costs?
Michael W. Malone: Again, I'm not going to provide any more clarity. There's a number of pressures, I talked about 3 of the bigger pressures in my prepared remarks. I think, each one of those is a significant pressure. And we do have a lot of things going positive, like we do other years, it's just that the bad guys are kind of ganging up on us in 2014.
Scott W. Wine: Just quickly on the motorcycle question. Obviously, we are thrilled with bikes that we had to compete going into '14. And certainly, with the addition of Slingshot, that portfolio is going to get even stronger. As we said in our prepared remarks, Slingshot is going to launch in the second half and we're not going to provide any more specificity than that. Although, clearly, it's not going to be a huge volume play for us in '14. The Indian and Victory play, I think, you've got to be a little bit careful there. Obviously, there was pent-up demand for Indian, which helped. And as we go into '14, the demand remains extremely high. But as Bennett indicated in his remarks, although we've got 140 dealers signed in North America, there's only 60 that are retailing, and we're going to ramp that up quickly. But we're going to -- even at the end of the year, it'd be less than half of where Victory is. And as we get better at marketing and selling the Victory bikes, they're not going to stand still while Indian catches up. So Indian is going to grow throughout the year. I think, the spring selling season will be very important for us. We don't have a capacity problem, I'm fairly certain of that. As Bennett said, we struggled a little bit to ensure we had the right quality as we ramped up production, but I feel very comfortable of where the team is now. So we're going to place it on where consumer demand is and go from there.
Operator: Your next question comes from James Hardiman of Longbow Research.
James Hardiman - Longbow Research LLC: I was actually going to another direction but just to close the loop on that last piece of commentary there, Scott. So 60 dealers currently retailing today, we should be at 140, pretty quickly here, what do we think that number is going to be by the end of the year?
Scott W. Wine: A lot more.
James Hardiman - Longbow Research LLC: Okay. Fair enough. And then...
Scott W. Wine: James, just one thing, just so you don't take those remarks out of context, I mean, most of these guys are doing brick-and-mortar adjustments to be ready for Indian with the higher standards and they are ramping up quickly. But I think, if you assume that 140 will be retailing in the next 30 days, that's -- you're probably taking that too far.
James Hardiman - Longbow Research LLC: Right, I totally get you there. And then, to the point that you don't have a capacity problem, basically, you think that whatever the retail numbers are for this year, you should be able to -- or the retail demand, I should say, is you should be able to get the shipments there to handle that?
Scott W. Wine: I'd love to be proven wrong of that, but I'm fairly confident I got that right.
James Hardiman - Longbow Research LLC: Okay. Perfect. My bigger question here was just with relation to ORV retail, I think, it was low teens coming out of third quarter, very little benefit from the new products. I think, everybody agrees that the new products are as significant as they've been in years. I think, most of us then would have expected ORVs to maybe accelerate in the fourth quarter. What's the disconnect here? Was product availability an issue? Obviously, an early start to winter, how should I think about the deceleration in ORV retail?
Bennett J. Morgan: James, this is Bennett. I think, there's a couple of factors. I mean, you've nailed a number of points. The new introductions have been, frankly, home runs, we're thrilled with the response. There's a couple of factors that, I think, if you'll talk to other retailers, you've seen, that there was 6 less retailing days between Thanksgiving and Christmas this year, and that impacted us. I think, it impacted most of the [indiscernible] you see a rate there and I think that kind of moderated the fourth quarter retail numbers for us because, frankly, as we closed the year, we felt really good about our momentum and we're coming off very stout comparables. If you remember, we were mid to upper 20s last year in the fourth quarter. So -- and gained a ton of share. So we're not really concerned in the least about what looked to be a little bit of a retail deceleration.
Scott W. Wine: But that being said, I mean, our confidence in our product portfolio and our ability to continue to compete gain share in '14, we certainly feel like we could have executed better in some areas. And I think, the addition of Tim Larson to the team, you'll see, I talked about some of our go-to-market strategies. And I think, generally, as you look at the way we compete throughout '14, you'll see a more effective, not just product strategy, but commercial strategy as well.
James Hardiman - Longbow Research LLC: Very helpful. And then, just lastly, and I don't want to read too much into your comments and maybe I've just listened to these calls for too many years, but it seems like you guys underscored -- it seems like you underscored sort of competitive pressures more than you have in the past than -- I know, in the past, but a lot of us would see some headline products coming down the pipe and be very focused on those. It doesn't seem like there was anything really noteworthy here recently, so was that more just a cumulative impact of the last year plus of new products or there's some new things in the last couple of quarters that you felt like really puts the pressure on?
Scott W. Wine: No, I think, we have been very clear that we expected the side-by-side category to become much more competitive. And I think, throughout 2013, we saw almost every competitor in the category bring new product in various models. And at the end of the year, the cumulative effect of many of the players bringing new models, none of which, we believe, put us at a product disadvantage. I mean, we still feel incredibly strong, but it's just an overall look at the landscape, which has essentially played out exactly like we expected it to.
Operator: Your next question comes from Tim Conder of Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Scott, one thing here on Indian. Based on your guidance for Indian, and granted how things look at this point, I mean, granted that, that can change, it would imply that Indian, you're saying it's going to drive most of the year-over-year increase in the motorcycle category. That, that would be $150 million, $175 million at this point? Is that fair kind of looking at the math?
Scott W. Wine: I don't think so, Tim, but we don't give detailed product line sales information. But I would suspect that's a little bit like.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And then, another question, roughly how many units per dealer would you anticipate dealers carrying as a stocking unit that they should have on a continual basis?
Bennett J. Morgan: Yes, Tim, this is Bennett, we're running the retail floor management just like we are in Victory, and that's worked extremely well. These are going to be higher velocity dealers versus what we've seen with Victory. So you'll need a little bit more to keep right place, right time. We'd say right around 10.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And then, I mean, just maybe you zoom out here, looking at the overall commentary that you've given on '14, and what you said about your long-term guidance. You said, with acquisitions, looking out to 2020, you expect to have about 12% top line growth, and 13% bottom line growth. And then, the majority of that is just continual reinvestment and the mix change with small vehicles that lesser flow-through, I mean, that's obviously nothing too different that what you said previously, just any additional commentary on that?
Bennett J. Morgan: I think, Tim, the 1 missing point on your perspective there is we do not expect a stable global economy through the next 6 years. I mean, I think, there's going to be a period where many of us, not just in Powersports, face a declining economy that may put pressure on sales. So I think it's just factoring in, it may not be enough here every year from an economic standpoint going forward. And if you think into a down year, I think, our growth rates overall are going to be solid.
Operator: Your next question comes from Jimmy Baker of B. Riley & Company.
Jimmy Baker - B. Riley Caris, Research Division: You've addressed most of my questions already, I just have a couple of follow-ups. So first, I just wanted to make sure that we're understanding your color on competitive pressure correctly. So am I hearing that right that it seems like you've taken the best product punch from many of your competitors already and that hasn't really worked for them. You continue to gain share. So now you're anticipating that they might move more to compete on price rather than product merit?
Bennett J. Morgan: Yes, I think, that's exactly correct, Jimmy. And I think, the part that we try to underscore, as James was taking up, is it's a broader environment. And so when we're winning in our stores and even with our dealers that carry competitive lines, we have to be more cognizant that there are a bunch of guys that don't carry Polaris products and we got to make sure that we have the strategy to drive share gains in each of our segments, which we've shown ourselves capable of doing. That's what Scott's talking about with our improved go-to-market in '14. So that's really the difference.
Jimmy Baker - B. Riley Caris, Research Division: Great. And then, just to follow-up on the gross margin guidance. You've historically been able to still improve gross margins while launching new plants, when I think about Monterrey, or even in 2013, improving gross margin while incurring some of the startup cost in Poland. So anything unique about the 2014 launch schedule that makes it more challenging? And then, without maybe quantifying the various bad guys, maybe you could just rank the 4 sources of gross margin pressure in order of severity?
Michael W. Malone: Sure, Jimmy. I don't think there's anything different or unusual on the plant startup stuff in 2014 than what we've had before. But I think, there's a couple of things. One is this Canadian dollar. I gave you a very specific example in my prepared comments because you tend to kind of gloss over that. When you just talk about currencies in general, it's very generic but -- I mean, that's our largest subsidiary and if that currency stays where it's at today, 70 basis points in margin erosion from one currency, and that's hard to overcome, especially when it's happened so fast over the last couple of months. So that's certainly something we don't have a lot of control over, unfortunately. And what we -- the way we see it today, that's what's staring at us in the face and we've got to find a way to overcome that and we've got to deal with it, it's the reality. We haven't always had those kinds of pressures. So again, we're not going to quantify the impacts. I spoke in my prepared comments with the material changes.
Jimmy Baker - B. Riley Caris, Research Division: Mike, just a quick follow-up, could you just maybe rank the 4 pressures in order of severity for us?
Michael W. Malone: No. No, we're not -- no.
Scott W. Wine: I think you said no.
Operator: Your next question comes from Scott Stember of Sidoti & Company.
Scott L. Stember - Sidoti & Company, LLC: Can you talk about on Brutus, it sounds as if you put some -- your plan of putting some changes in on the commercial side going forward, but you talked about a substantial uptick in the fourth quarter. Could you talk about what was behind that and any trends going forward?
Scott W. Wine: Yes, I'll start and I'll give it to Ben. I got to tell you that as usual with Brutus, we have nailed the product at this point. I've been using mine, we've had way too much snow here in Minnesota, I've been using it quite frequently, love where the product is. And what you realized is we were not as good at our go-to-market strategy outside of core Powersports as we could have been. And we put a lot of thought into it, we thought we were pretty good, came up a little bit short. But I think, Bennett's put a lot of his personal time into this one. And I wouldn't want to bet against the improvements we're making, especially with the Ariens partnership. And you want to add some color, Bennett?
Bennett J. Morgan: No, I think, you really kind of covered it. There's lots of opportunities as we go into '14, and that's both on our side, the dealer side. And frankly, again, as we talked about earlier, the B2B and the B2G customer, it's a longer fuse and ramp than what Polaris' patience factor usually is. And so -- but we we're lacking some skills on the front end from the dealer side and from a Polaris side, and so that's why we're bolstering that pretty aggressively. And the strategy is pretty, I think, apparent. We're going to utilize a host of brands and channels to get after this commercial market. It's a pretty profitable segment for us already.
Scott L. Stember - Sidoti & Company, LLC: Okay. Great. And on the Parts, Garments and Accessories side, you've highlighted the recent addition of generator products, can you talk about the opportunity there on a full year basis going forward?
Scott W. Wine: Yes, it's a nice little category. I don't think you should consider this one grow into the moon. It's a real natural play when we do the research with our customers. We've got a really nice inverter solution that I think is very competitively priced and the performance is quite good. But consider this just an additional piece of the puzzle for PG&A in its growth as we go forward. Don't over-model that one.
Scott L. Stember - Sidoti & Company, LLC: Got you. And what is the share count at the end of the year after the share repurchase? Or just as we stand right now, what is the absolute share count?
Michael W. Malone: I got to look that up. I don't have that off the top of my head.
Operator: Your next question comes from Michael Swartz from SunTrust.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc., Research Division: I just wanted to touch on the ORV inventory situation. It was up mid-teens it looks like at the end of the calendar year. Just thoughts on that, I mean, is that where you had expected to be when we last talked in October? And then, how do we think about that over maybe the next one or 2 quarters?
Bennett J. Morgan: Michael, this is Bennett. Yes, I think, it's right where we thought it would be. Again, with the model year '14 launches, we created a couple of new segments within the dealerships that, frankly, they needed to stock and require. And so it's really pretty much right on where we thought it was going to be. As you go forward into the next couple of quarters, we're always -- bulk up a tad that as we get into the key spring seasonality, you might see it rise a little bit, and then you'll see it taper off a little bit as we get to the end of the second quarter just by our natural rhythm to seasonality.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc., Research Division: Okay. Great. And I would assume that, that doesn't include Slingshot, right? That's in motorcycles, is that what I heard?
Bennett J. Morgan: Yes, Slingshot, obviously, won't ship until the second half of the year. And when we embed that in, we'll probably report that over time separately, but it will be embedded within motorcycles.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc., Research Division: Okay. Great. And then, just second question, not to beat this horse dead, but just gross margin looking at maybe the cadence throughout the year, I think you said you have about 10% of your Canadian exposure hedged right now. So should we expect most of that impact in the early part of the year?
Michael W. Malone: Well, Michael, most of our hedges are earlier in the year, we tend to hedge a little heavier closer in and further out, but the Canadian exposure tends to be back end-weighted, it's generally where our cash flows come from. In Canada, it's tends to be back end-weighted. And I have the answer to Scott's question earlier on the share count. The share count at the end of the year 2013 is 65.6 million shares, obviously, before the dilutive impact of competition plans.
Operator: Your next question comes from Craig Kennison.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: Mike, I'll start with you on the credit side, on the consumer credit side, are you seeing any change in behavior among credit peers, whether it's prime or sub prime?
Michael W. Malone: Not materially. Our -- you can see our penetration rate is a little bit lower than it was a year ago and the approval rate is a little bit lower. I think, one of the things we're starting to see is as consumers get a little bit more confident, more lower tier customers are coming into the store looking for credit. And so the approval rates are slipping just a little bit, but we view it as relatively stable.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: And then, Bennett, any color on how Ariens and Bobcat could play together with some of your products? In other words, do you see any channel conflict you have to manage?
Bennett J. Morgan: No, I don't. I think, we were -- our people were very concerned when we came out with Bobcat, and that really has been a very differentiated vehicle, differentiated channel, differentiated customer. And frankly, we see the exact same thing as Ariens comes into the mix, it will be highly differentiated product, they're unique channels, they go after really unique customers, and so there's not a lot of overlap. And so I think we feel really good about these strategies that it will be pure for all parties involved.
Operator: Your next question comes from Mark Smith of Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: Can you just talk a little bit about the snow business and wherever we see you guys do share in anything these days, just what you have coming up and how you feel you can get that a little bit back?
Bennett J. Morgan: Mark, this is Bennett. We've had a really nice run in snow in the last 3 years and gained, frankly, a bunch of share. And we're -- obviously, we're a little disappointed that we haven't gained share season-to-date, but frankly, we kind of faced that coming right out of the gate last year, we didn't, what we call, win the snow check battle, we didn't necessarily choose to win the snow check battle by being really aggressive on promotions. And our through the door, which is kind of in-season activity, frankly, we are gaining share and picking up momentum. Fourth quarter was stronger. The new products are selling extremely well. The Model Year '14 quality is outstanding, and we have an awesome lineup of Model Year '15s coming. And the snowmobile industry has been healthier than it's been in 15 years. So I mean, if I ever got to lose share, I feel really good about the snowmobile business right now. I guess it's my -- it's the takeaway there, we're not really too upset about where we are other than we hate to lose any share.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay. And then, just looking at PG&A, we talked generators, we talked a little bit of client growth. As we talked at your attachment rate of accessories on ORV models, you've seen similar rates on the new models on the -- especially on the 1000 and then expectations on Indian and even on a product like [indiscernible]
Scott W. Wine: Yes, I would tell you that the ORV and the Indian and the PG&A teams have done an awesome job of really developing some quantum leap forward, integration and customer solutions over the last couple years, and that is driving the penetration rates up, I think, significantly on those new products and in those categories. I think, you'll see nice penetration rates on ACE. It's -- again, it's the early, early innings there, but that's going to fall somewhere between an ATV and a side-by-side from a penetration rate. So we expect to do very well, but I'm not sure yet I can tell you exactly if that's going to be closer to ATV kind of penetration rate or side-by-side penetration rate. But clearly, the track to integrate and innovate is driving penetration rate up significantly in all our businesses.
Mark E. Smith - Feltl and Company, Inc., Research Division: Are you pleased with Indian, I guess, on what you've seen so far on the accessories side?
Scott W. Wine: Yes, I mean, customers love this product. I will tell you, again, in our spirit of generally being forthcoming and critical, we're not -- we haven't been perfect on accessory delivery with our ramp up. And so we've got a few products that were still on backorder that we're desperately trying to get out that can affect delivery of bikes, which is always concerning, but the sales to dealers and customers on Indian has been outstanding.
Operator: Your next question comes from Joe Hovorka.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: A couple of questions. First, a clarification. Did you say depreciation and amortization is going to be at 40%? Or is that specific in cost of goods, I missed that one comment.
Michael W. Malone: Depreciation and amortization is expected to be up 40%, that's the cash flow part of that, not all of that expense hits on gross margins, but the vast majority of it does.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: Okay. And then, the Slingshot, is that sold through Victory or Indian dealers or separate dealers?
Bennett J. Morgan: We'll let you know that sometime in the second half.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: Okay. And a question about ACE then, and you probably won't answer the question about products, but is it closer to -- are the margins on ACE more like side-by-side or more like ATV?
Bennett J. Morgan: Joe, this is Bennett. It's a new product, it's a new category. It would be closer to ATV type of margins today. But again, it's early, it's a new product innovation, we have a good track record of always improving that over time and that will be our expectation with ACE as we go forward.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: Okay. And do you have the ASP growth in ORV for the quarter?
Michael W. Malone: No.
Operator: [Operator Instructions] Your next question comes from Rommel Dionisio of Wedbush.
Rommel T. Dionisio - Wedbush Securities Inc., Research Division: On Victory, you guys, saw some nice mid single-digit growth there, is that really the benefits of the price adjustments you saw you enacted in the summer time or is there something else going on there?
Scott W. Wine: I think, it's a lot of things, Rommel. One of the benefits that we thought we might get that we're seeing is as we have launched Indian, we're seeing a nice little pick up in Victory, so that's been good. I believe, we were perhaps late to the game on adjusting price coming out with some of these value models, but our lineup in Victory now is as good as it's ever been. The association with Indian has helped us in, overall, in the motorcycle business. And quite frankly, our dealers are executing quite well. So just in large, as we go into '14, we're feeling good about the Victory business.
Rommel T. Dionisio - Wedbush Securities Inc., Research Division: I have no further questions queued up at this time,.
Michael W. Malone: Okay. The answer to Joe's question was looks like 12% ASP increase in the fourth quarter.
Scott W. Wine: Okay. That's all the time we have this morning and want to thank everyone again for participating in the call this morning, and we look forward to talking to you next quarter. Thank you, and have a good day.
Operator: And this concludes today's conference call. You may now disconnect.